Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Bottomline Technologies Third Quarter 2013 Earnings Conference Call. Statements made on today's call will include forward-looking statements about Bottomline's future expectations, plans and prospects. All such forward-looking statements are subject to risks and uncertainties. Please refer to the cautionary language in today's earnings release in Bottomline's most recent periodic report filed with the SEC for a discussion of the risks and uncertainties that could cause the company's actual results to be materially different from those contemplated in these forward-looking statements. Bottomline does not assume any obligation to update any forward-looking statement. During this call, certain of Bottomline's financial results are presented on a non-GAAP basis. These non-GAAP results include, among others: gross margins, operating income, EBITDA, net income and earnings per share. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures is available in the Investor Resources section of Bottomline's website, www.bottomline.com. Bottomline will be providing forward-looking guidance on the call. A summary of the guidance provided during the call is available from the company upon request. I would now like to turn the conference over to our host, Mr. Rob Eberle. This meeting is also being recorded. Please go ahead.
Robert A. Eberle: Good afternoon. Thank you for your interest in Bottomline Technologies, and welcome to the third quarter fiscal '13 earnings call. I'm delighted to report on what was another very strong quarter for Bottomline. I'm joined by Kevin Donovan, our Chief Financial Officer, to provide a detailed review of the quarter's financial results and our guidance going forward. We'll both be available for questions following Kevin's remarks. Q3 was a very strong quarter for Bottomline. A quarter in which we exceeded all our key financial metrics and recorded strong growth in revenue, EBITDA, operating income and EPS. We posted record orders, evidencing the customer demand for our offerings and validating our strategy, and we significantly advanced our strategic plan with important new developments in each of our 3 main growth drivers, legal spend management, Paymode-X and banking technology solutions. Starting with the financial highlights for the third quarter. Subscription and transaction revenue was $28.7 million, growth of $8.4 million or 41% from the prior year. Subscription and transaction revenues drove substantial growth in our recurring revenue, which was $44.8 million, up over $9.5 million or 27% from a year ago. Recurring revenue was 70% of overall revenue. Total revenues grew to $64.4 million, 17% growth from the prior year. EBITDA was $12.5 million, an increase of $2.5 million. Operating income was $10.8 million, an increase of $2.2 million. EBITDA and operating income were up 25% and 26%, respectively, from the prior year, and we recorded EPS of $0.32, up $0.11 from the prior year, well ahead of our target and expectations. So again, very strong financial performance recorded in the quarter. Perhaps the most telling number in the quarter doesn't immediately appear on the income statement or the balance sheet. That number is orders. Orders is a leading indicator. The market validation of the strategies we've been deploying and speaks directly to the competitive position of our solutions, the strength of our execution and most importantly, customer and market demand for our offerings. In the third quarter, Bottomline posted record orders of $94 million. That isn't just a record, it's over $20 million more than any orders number we've recorded in any quarter in the company's history. At this kind of order result, we've got to be in the right market with the right product, and then execute. It doesn't just happen. With $94 million in orders, our book-to-bill ratio was 1.46, also a record. And if you really think about it, for a business that's got 70% of its revenue recurring, that's a phenomenal book-to-bill ratio. New orders number was fueled by strong demand across virtually all our customer and product sets and in particular, large orders with banks. Now we won't record $90 million of orders every quarter, nor are we abandoning our steady, consistent growth plan and focus on recurring revenue, so we don't expect and we're not suggesting a spike in revenue in the coming quarters. Not that the orders result represents a market validation of our strategy and a confirmation of the bright future we have ahead. The orders number benefited from several significant deals in the quarter with leading regional banks and global banks. Six regional banks chose Bottomline for digital channel solutions and online cash management services in Q3. Bottomline's technology platform will improve their ability to compete, win and grow in the markets they serve. These deals were competitive takeaways. Clear signs of our growing market momentum. In addition, 2 global banks expanded their relationship with Bottomline with new contracts for long-term partnerships. Our success in this market is clear, and it will be an important driver of our future growth. We continue to see strong demand and success in the legal spend market with 8 new customer wins this quarter, including Endurance Specialty Insurance, Munich Re, New Jersey Manufacturers and American Integrity Insurance, all of them selected Bottomline's cloud-based solution to manage their legal spend, beginning to show customers previews of our next generation platform, which is further extending our market leadership position. Turning to Paymode-X, we announced a channel partnership with Citizens Bank and we signed and announced a global partnership with the Royal Bank of Scotland. These 2 banks are expanding their treasury management offerings with Bottomline's Paymode-X settlement network, allowing them to offer their corporate customers the ability to convert paper-based payments to electronic, to be the world's largest payment network of its type. So far, these channel relationships have exceeded our expectations, and we've been delighted with the activity. We have already jointly made over a dozen proposals to customers with these banks. We'd expect 2 or 3 signed deals by the end of this quarter, proving the models and the powerful potential of Paymode-X as a bank offer treasury automation tool. So in summary, this was a very strong quarter, with strong growth in revenue and operating income continuing. We recorded record orders confirming our strategic plan and bright future. We're winning bank technology deals and taking market share. We signed 8 new customers for legal spend management and our new Paymode-X channels are up and running ahead of expectation. I'll turn it over to Kevin Donovan now for a detailed review of the financials, and again, we'll both be available for questions after his remarks.
Kevin M. Donovan: Thank you, Rob. We had a very strong third quarter, both financially and strategically. Financially, we achieved strong year-over-year growth across most of our key financial metrics. The quarter was highlighted by orders, subscription and transaction revenue, operating income, EBITDA, backlog and EPS, all growing 25% or more from the prior year. Strategically, we continued to invest in and grow our cloud-based recurring revenue platforms and signed new customers and channel partners across our legal spend management, Paymode-X and banking solutions. These new subscription and transaction deals will help drive our future recurring revenue and profit growth. Key metrics of the third quarter were revenue of $64.4 million, up 17% year-over-year, subscription and transaction revenue growth of 41%, orders of $93.8 million, up 65% over the prior year. Operating income of $10.8 million was up 26%. EBITDA of $12.5 million is up 25%. Backlog of $121.6 million, up 45%, and EPS of $0.32, up $0.11 from last year. Clearly, a very successful quarter. Now we will take a more detailed look into the financial results for the quarter. Revenue of $64.4 million was highlighted by 41% growth in subscription and transaction revenue, and $7 million in software revenue. Subscription and transaction revenue was $28.7 million in the quarter and represented 45% of overall revenue. Subscription and transaction revenue is the largest revenue component of the business and was the primary driver behind the increase in recurring revenue. Recurring revenue was $44.8 million, up 27%, and represented 70% of overall revenue. In addition to the strong subscription and transaction revenue growth, we closed 8 new legal spend management deals. These subscription and transaction-based deals are very attractive to us because of the highly predictable nature of the revenue stream and the significant leverage in the financial model. Software revenue was stronger than expected, and helped contribute to the revenue upside in the quarter. Orders were particularly strong at $93.8 million. The growth in orders was driven by several significant deals with leading regional and global banks. These new wins helped help drive a record 1.46 book-to-bill ratio, and validated the competitive position of our product set and sales execution of our team. The strong revenue results drove meaningful year-over-year growth in gross margins, operating income, EBITDA and EPS. EBITDA was $12.5 million, and operating income was $10.8 million, each increasing 25% plus on a year-over-year basis. EPS was $0.32, an increase of $0.11 from last year, with better than the expected results. Half of the earnings upside came from stronger quarterly operating results, and the other half was driven by a favorable tax benefit. Gross margin of 58% was up 1% from last quarter, and 3% from last year. We continue to see the opportunity to expand our long-term gross margins to the low- to mid-60% level. From an operating expense standpoint, we're investing in areas which will drive future growth, principally sales and marketing and product development. Sales and marketing expense was $13.9 million, representing 22% of revenue. Product development expense was $8 million, representing 12% of revenue. Our sales and marketing and development spend is primarily focused on investments that we are making in the 3 cloud-based growth areas of our business. Looking at the balance sheet. Cash at the end of December was $284 million. We generated $10.7 million of cash flow from operations and $8.2 million of free cash flow during the quarter. With the successful convertible debt offering completed, and continued strong cash flow generation, we are very well-positioned to pursue accretive M&A transactions. In addition to the strong cash balance, we have a significant backlog. Backlog at the end of December, excluding commercial banking orders and Bank of America pay mode revenue, is a record $121.6 million, up 45% from last year. The increase in backlog was driven by the strong order results in the quarter. Turning to our forward-looking guidance, we are increasing our fiscal 2013 earnings guidance off the strength of our Q3 results. We expect to exceed the prior annual revenue guidance of $254 million by a small amount, and our annual earnings guidance has increased to $1.24. From a fourth quarter perspective, we expect revenue to be at or above our third quarter results, and we are targeting EPS of $0.29. Earnings guidance reflects a projected fourth quarter tax benefit of $500,000. We will provide our fiscal 2014 guidance on our fourth quarter call. In summary, we had another record quarter. We executed financially with very strong year-over-year growth results and advanced our strategic plan. With growth of 25% or more in orders, subscription and transaction revenue, operating income, EBITDA, backlog and EPS, and significant leverage in the financial model, we are very well-positioned to achieve our long-term financial objectives. We will now open up the call for any questions.
Operator: [Operator Instructions] Our first question will come from the line of Richard Davis from Canaccord.
Richard H. Davis - Canaccord Genuity, Research Division: With regard to RBS with Citizens, where are we in the training process? You obviously have done some pitches and stuff like that, is there still training to be done? Because I know you, you get the foreigners and you have to get them kind of up to speed, or is it kind of joint selling? And then I'll just have a quick follow-up.
Robert A. Eberle: So there's a mix of things going on. First off, there's certainly more training to be done, as there almost always will be, but we've got, particularly at Citizens that we're further along with. We've got a number of salespeople out, prospecting and registering prospects and then making proposals. So we've got at least 10 salespeople that are real active at Citizens, and we've got a seminar coming up, where we'll be bringing in clients. So actually, several client seminars. I had a chance to -- one of our executives, actually, a chance to talk to one of the senior people at Citizens, and they gave the overall program an A+ so far. They said that it had been an outstanding launch, and their thought of it, there's as just much excitement around this as any other release that they've seen. So we're pretty pleased with it. We're -- of course, the measure will be signing real customers. Again, we expect to sign 2 to 3 by the end of the quarter, and let it run from there.
Richard H. Davis - Canaccord Genuity, Research Division: If I'm at Citizens, am I a -- am I almost exclusively working on this? Or do I have -- I must be clouding a portfolio of stuff, or --
Robert A. Eberle: I'm sorry, Richard, I didn't mean to cut you off. It's part of the overall things in your bag that you can sell, but one of the things that's nice about it is, you're walking in with a technology solution that provides significant benefits to the payer, benefits in automation, benefits in technology and even benefits in dividends they can receive off of payments.
Richard H. Davis - Canaccord Genuity, Research Division: Got it. And then Kevin, real quick. The backlog, is that $137 million, with that, because I just take the orders and multiply 1.46? Is that right?
Kevin M. Donovan: The backlog was $121.6 million.
Operator: And our next question will come from the line of Brett Huff from Stephens Incorporated.
Brett Huff - Stephens Inc., Research Division: A couple of quick questions. The sub and tran line was down sequentially, and that's a pretty rare occurrence. Can you give us a sense of the driver behind that?
Robert A. Eberle: Yes, I had talked about that on our last earnings call, that we expected the subscription and transaction to be down sequentially, and the main driver on that is the headwind that we have on the commercial banking revenue, the Intuit acquisition and the -- our customer attrition that was known at the time of acquisition as we've commented on prior calls, we've got a lot of success pushing out some of that attrition, but we do expect to see that attrition happen, some of that occurred during the third quarter. And we will see some additional attrition here in the fourth quarter. So there's a little bit of headwind from that, as expected, and as we talked about on the last call.
Kevin M. Donovan: Yes, one thing I'd add on this, just to, in case people who've just recently begun following this, that attrition is customers that at the time we acquired the business had already given notice that they were leaving. So they had chosen new platforms, or other technology solution. And we bought the business in that condition. So we bought a turnaround, we knew that, we paid a fantastic price for that business, but part of the price we pay is, we're going to have the subs and trans impact over the next couple of quarters.
Brett Huff - Stephens Inc., Research Division: And then the second question I had, Kevin, was that, it looks like there were some M&A costs, and I was trying to remember, is that -- am I looking at that right? And if so, what were those costs? I don't recall there being M&A this quarter.
Kevin M. Donovan: We do. Those are the integration costs related to the migration of the customers for the Intuit acquisition over to our data center. We were right in the mix of completing that migration of customers.
Brett Huff - Stephens Inc., Research Division: I got it, I was thinking too narrowly about M&A. And then, in terms of the organic growth, I know that you've sort of given us a ballpark on that, in the past. Can you give us a sense of that? That's a very helpful number.
Kevin M. Donovan: Yes, excluding the banking services, it was 11% in the quarter.
Brett Huff - Stephens Inc., Research Division: And by excluding the banking services, do you mean just be -- can you be more specific about that?
Kevin M. Donovan: Yes, that's the area of the business that we're transitioning over to more subscription and transaction-based deals, following the Intuit acquisition.
Brett Huff - Stephens Inc., Research Division: Yes, I just wanted to make sure I got that right. And then, have you given us an update at all on -- I know that your goal is to try and sell more of the traditional functionality you have on a, over time basis, on a sub and tran basis. Have you sort of ballparked how successful that effort has been? How much of a headwind that has been year-to-date or even in the quarter at all?
Kevin M. Donovan: Yes, we haven't specifically given any numerical numbers, but the regional banks that we had success with during the quarter that Rob commented on, we did have success in selling on a subscription and transaction base there. So we are seeing success right in line with what our strategy is to move more of that, more of those solutions that we sell to financial institutions at that regional bank level on a subscription and transaction basis.
Robert A. Eberle: I'd say a couple comments on that. One is, it's hardest when it's existing customers hardest, generally to transition. Second, with the passage of time, this transition becomes easier and easier because the market is moving in. I see greater customer acceptance of cloud-based technology and subscription pricing models.
Operator: Your next question will come from Mayank Tandon from Needham & Company.
Mayank Tandon - Needham & Company, LLC, Research Division: Rob, so just focusing a little bit on those banking wins, I think you mentioned 6 regional bank wins, and then you had 2 banks that expanded their relationship with Bottomline. Any of those 6 wins on the new Intuit platform? Or were they on the legacy platform?
Robert A. Eberle: Some of those were on the new Intuit platform, yes.
Mayank Tandon - Needham & Company, LLC, Research Division: Okay. And then Kevin, you were talking about the drag from the customer transition. Should we expect that to continue in the fourth quarter? And then, how should we think about that impact in fiscal '14? And I know you're not giving guidance, but I just want to get a sense of how much more drag is left from that transition.
Kevin M. Donovan: Yes, and we will see drag in Q4 into Q1, so we definitely do see that drag. Obviously, we'll see growth across legal spend management and Paymode-X and our SWIFT access service, so there are areas of growth that'll drive that subscription and transaction revenue line, but it is a natural headwind that we have as we go forward over the next couple of quarters. And that headwind was what we expected at the time of acquisition, it's just occurring a bit later than we had originally planned, because we've had more success in keeping those costumers on longer than originally indicated.
Mayank Tandon - Needham & Company, LLC, Research Division: Just to be specific, is that headwind now coming down, or is it going to sustain at the same rate at the third quarter?
Kevin M. Donovan: No, we would not expect to see the sequential decline that we saw from Q2 into Q3, we would expect to see growth on a sequential basis as we move into Q4.
Mayank Tandon - Needham & Company, LLC, Research Division: Got it. And then, just one more question on the Intuit platform. How many banks do you have today on the hosted platform versus your legacy platform?
Robert A. Eberle: It's approximately 450.
Mayank Tandon - Needham & Company, LLC, Research Division: Okay. And those will the Intuit customers that have not transitioned away from the old platform?
Robert A. Eberle: Yes, there's about 500 banks at the time of acquisition, about 20% which had given notice to Intuit, pre-acquisition. So we're through some of that known customer attrition and there's some additional known attrition to take place over the next couple of quarters. What's interesting around the attrition is, but all of that was pretty much done at the time of the acquisition. Otherwise, they had already given notice, they've made other plans, et cetera, but their, the integration of their new solution or coming on the new solution will be 1 year, or 1.5 years out, or whatever it may be. Could be months out, could be 1 year, could be more. What's interesting and what's important to us is the turnaround we've been able to accomplish with the existing customers. Hey, you got a voicemail just the other from a customer who told me, in the past, he listed a series of problems. He said he had recently met with his team. They've gone through all of them, and all of those problems had been solved. And he said you can take me off the complaint list, I'm a happy customer. Thank you, Bottomline. So we're accomplishing what we need to accomplish, but you can't get rid of the impact. And frankly, the way that factored into purchase price, we were able to get a great, great deal here, even though we suffered through a couple of quarters of declining subscription and transaction revenue impact.
Mayank Tandon - Needham & Company, LLC, Research Division: That's helpful perspective, Rob. Just one final question. Going on to the Paymode front, can you remind us how many payers and vendors you have currently? And then, should we expect some type of acceleration now that you have 2 major banks on board?
Kevin M. Donovan: We will see acceleration on the payer side with the banks that are coming on board as channel partners. that won't happen immediately. As Rob mentioned, our target is to have those channels sign 2 to 3 deals here in this fourth quarter, but we will, over time, see an acceleration of the number of payers coming on.
Mayank Tandon - Needham & Company, LLC, Research Division: And gentlemen, what about the vendors?
Robert A. Eberle: No exact number known. Vendors, I think we're just over 210,000 now.
Mayank Tandon - Needham & Company, LLC, Research Division: Okay, and then, sorry, the number of payers, did you give that number on the call, or...?
Robert A. Eberle: We don't have that number.
Mayank Tandon - Needham & Company, LLC, Research Division: 210,000 on the vendors, depending on --
Robert A. Eberle: Payers number still has a big component of Bank of America folks in it, so that's not something we'd been releasing.
Operator: Our next question will come from the line of Gary Prestopino from Barrington Research.
Gary F. Prestopino - Barrington Research Associates, Inc., Research Division: Will these new banks that you have as channel partners, will they be selling the vendor pay model?
Robert A. Eberle: Yes, exclusively.
Gary F. Prestopino - Barrington Research Associates, Inc., Research Division: Exclusively, and that's what you're going to go for, for -- with any other channel partners that you have, right?
Robert A. Eberle: Bank of America's mix, so they are kind of watching the -- in the vendor pay model and coming on to that, they had been a traditional channel partner, and so you obviously have a lot of sales activity and dialogue that's in play. But given the proposition to the customer, and the comparison of the 2, we expect them to move across to the vendor pay as well.
Gary F. Prestopino - Barrington Research Associates, Inc., Research Division: And Kevin, did you say the 11% -- $0.11 swing in earnings this quarter, 50% of that was related to the tax benefit?
Kevin M. Donovan: Yes, we see, our prior guidance had been, $0.25, so the $0.07 upside over the prior guidance, half of that was operating results-driven and half of that was related to the tax benefit. We had a $1.3 million tax benefit. Our prior guidance had been for a 0 kind of tax benefit, so the $1.3 million represents about $0.025.
Operator: And your next question will come from the line of George Sutton from Craig Hallum.
George F. Sutton - Craig-Hallum Capital Group LLC, Research Division: Rob, you had mentioned, on the legal spend side, you've got a NexGen platform that you've started to show to customers. Can you just give us a sense of what some of those new features might look like?
Robert A. Eberle: Sure. The first piece is just -- #1 thing is ease-of-use. It's taken ease-of-use to a whole new level. Second, there's different pieces you can do around communications and notes that are recorded. And then other pieces are mobile capability. So the ability to equip an iPad or other device to be device-independent. Those are the biggest near-term features that we'd be coming out with.
George F. Sutton - Craig-Hallum Capital Group LLC, Research Division: Okay. Relative to Paymode, you mentioned, with your new partners have, I think, you've made a dozen proposals thus far. Can you just give us a sense of, is that the kind of number you are hoping to have at this point? What sort of feedback have you gotten on those proposals?
Robert A. Eberle: The real -- I tell you that in my experience, the real question with channels is, does it take it all? It's kind of a well, the well, do you get anything out of that well, or is it a dry well, and what we've seen so far is an incredible number, a lot of amount of activity. There's no question that we're going to have signed deals, and there's no question as it works so well. So what would we have expected? I wouldn't have expected 10 people to jump on this, and to be actively prospecting with customers, as quickly as they have. So we're -- it's well ahead. We wouldn't have had a different metric or a different number, but it's just well ahead of anything that we would've expected to have happened. And the response from the executive team and support is fabulous as well. So the test is going to be as we sign customers, and then of course, with this kind of a model, there's a bit of lag for that revenue coming on. But I'm thrilled with the prospect of this, and it -- still pieces to train, as Richard pointed out, more training and we're supporting the channels quite a bit today, but it's -- it couldn't have gone better so far.
George F. Sutton - Craig-Hallum Capital Group LLC, Research Division: Great. Relative to the orders numbers, you mentioned several large transactions. Was there any one that was meaningful in the grand scheme, here?
Robert A. Eberle: Well, there's a couple different ways to look at meaningful. First off, I think, if you -- meaningful, if you're in a new market or you're taking a competitive win, those types of things. So I think there is some real meaningful, competitive wins for us in the regional banks in the domestic market, but Bottomline has traditionally played in the global banks. And the Intuit act to, these is buying [ph] the Intuit acquisition as we kind of move from the bottom up and the top down, and be a compelling proposition in the regional bank space. And that's proven, and those are competitive takeaways. So those are strategically significant. They're a game changer from that perspective, in the U.S. domestic market. The -- from a financial standpoint, yes, there's several deals that were large, where we could, we -- as you know, we record revenue on those over time as they're implemented, but there were several significant deals in that as well. So kind of a nice mix of strategic and substantial.
George F. Sutton - Craig-Hallum Capital Group LLC, Research Division: Last question for me relative to M&A. You had mentioned the favorable price you paid for Intuit. I've historically viewed you as a, for lack of a better term, a cheap shopper.
Robert A. Eberle: That's a compliment.
George F. Sutton - Craig-Hallum Capital Group LLC, Research Division: I know. I mean it to be a complement. I'm a cheap shopper as well. So as you are looking at these opportunities, why are we not seeing more transactions? Is it -- are things not fitting the mix you want, or is it more evaluation-related?
Robert A. Eberle: Well, in thinking, so I just want to make a remark. I think we want to look at are things that are going to fit our business, and we've got to know enough about that space. And so what we -- I like to know more about the business than the seller, and that -- so that means that it's -- we're not going to go off into spaces where we don't have expertise. We're not going to go off into spaces that are too far afield from the things we do and do well. Then when you take that piece and you look at valuations, there are plenty of -- as we look at businesses that have a significant component of recurring, cloud-based revenues and recurring -- cloud-based platforms and recurrent revenues, people can quickly get to valuations that for us, don't make sense, so we'll pass on from valuation perspective too often as well, but, so those are the things. I'd like to change the word cheap to a patient and thoughtful, just for the record. I think that's a better way to think about it. I think you will see us having some larger deals. I'd like to find, frankly, larger deals, just reflecting the size of the company. I -- if we moved up, as I think about where we were 5 years ago, we're just over $100 million today, we're $250 million, that's a different sized company that fits, but we continue to have a very active process and we actually brought on an excellent executive to head that process with prior experience in venture capital with the company, but roughly, our size and then actually as part of IBM's Corporate Development office as well. So we're active. We're just going to buy the right companies. Well, thank you all. Thank you, for your interest in Bottomline Technologies, and we look forward to reporting back on a strong Q4.